Operator: Thank you for standing by. This is the conference operator. Welcome to the Great Panther Mining’s First Quarter 2019 Financial Results Conference Call and Webcast. As a reminder, all participants are in listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to Alex Heath, Director of Corporate Development and Investor Relations. Please go ahead.
Alex Heath: Thank you, Ariel. Good morning, everyone, and thank you for taking the time to participate in our call today. With me here this morning are James Bannantine, President and CEO; and Jim Zadra, Chief Financial Officer. Before we begin, I'd like to mention that some of the commentary on today's call contains forward-looking statements. You should be cautioned that actual results and future events may differ from those noted in today's presentation. The commentary also refers to various non-GAAP measures, definitions and reconciliations that are included in the company's MD&A for the year ended March 31, 2019. All dollar amounts expressed in the presentation and the associated financial statements in MD&A are in U.S. dollars unless otherwise noted. I would like to remind everyone that this conference call is being recorded and will be available for replay later today. Replay information and the presentation slides accompanying this conference call and webcast will be available on our website at greatpanther.com. I’ll now turn the call over to Great Panther's President and CEO, James Bannantine.
James Bannantine: Thank you, Alex. Good morning, everyone. On our call today I will start with highlights of the first quarter then follow with an overview of our operational and financial results, discuss our outlook for 2019 and conclude with a question-and-answer session. The highlight of the first quarter was us closing the acquisition of Beadell Resources Limited. This acquisition has transformed Great Panther into an intermediate precious metals producer focused on leading mining jurisdictions across Latin America. Our portfolio is well-diversified in terms of asset types, with three producing mines, an advanced stage growth project, and significant exploration potential. As announced on Tuesday, this past week, we've now commissioned the supplemental oxygen system at Tucano, which is performing well. Through to the middle of May, the Tucano plant processed an average of 1.75 grams per ton of gold, with gold recoveries at 94.5%. By comparison, April and the first quarter was limited to processing material at just under 1 gram per ton and recoveries were down at 88%. We expect Tucano to produce between 125, 000 and 135,000 ounces of gold effective March 5th onwards to the end of 2019. At Coricancha, we are in the final processing stage of our Bulk Sample Program or BSP and expect to announce results in the restart decision in late June. At Topia in Mexico, we are advancing the process plant expansion project. During the first quarter we announced an increased resource estimate which increased measured and indicated resources by 28%. Production also increased 16% compared to the same quarter in 2018. With the acquisition of Tucano, gold is now our primary metal produced by value. For the quarter, consolidated gold equivalent ounce production was up by 7%. Our updated consolidated production guidance for 2019 to account for the acquisition of Tucano on March 5, 2019, is 171,500 ounces to 185,000 gold equivalent ounces. Based on our 2019 guidance, we expect gold production to account for approximately 83% of our metal production by value. At Tucano, our reported production of 14,000, excuse me, our reported production of 14,860 gold equivalent ounces for the first quarter only includes Tucano gold production from March 5th, the date of acquisition. For the 26-day period Tucano produced 5,164 ounces. Production at Tucano has been limited to processing lower grade oxide material due to the lack of sufficient oxygen as we continue to turnaround the operation. With limited grade of oxide under 1 gram per time, this lowered our production and raised our all-in sustaining cost for the first quarter and for the year-to-date versus what we expect the rest of the year and for future years. However, as announced earlier this week, the supplemental oxygen system was commissioned by the end of April and we've been able to process higher grade sulfide ore with excellent recoveries upwards of 94% since the beginning of May. I previously noted that in the first half of May, Tucano produced an average grade of 1.75 grams per ton and we successfully run the plant with grades over 2 grams per ton at those same recoveries. With the implementation of a supplemental oxygen, the final phase of the Tucano plant optimization is now complete and the mine can be operated in a manner that maximizes grade. Through continuous improvement program going forward and having looked at the operation in detail since taking ownership, we believe there is opportunity to significantly reduce all-in sustaining cost further over the mid-term. Tucano’s production guidance for 2019 from March 5th onwards is between 125,000 to 135,000 gold ounces. It's worth noting the significant seasonal trend of the production at Tucano with the rainy and the dry season, with 70% of the year’s production guidance plan for the last two quarters of the remaining three quarters. This also includes a very low month for the month of April. Moving on to Peru, at our Coricancha project, we have completed the mining phase of our Bulk Sample Program and have moved on to processing phase. We just recently started the process the approximately 4,200 tons of stockpile material generated during the mining phase. We successfully completed trucking the mine material to the plant via surface roads to avoid a blocked main ore pass to the plant and as previously mentioned are now processing that material. We expect to announce the result of the processing, the completion of the Bulk Sample Program and be in a position to make a decision on a restart at Coricancha in late June of this year. Moving on to Mexico, although the company's primary metal produced by value is now gold, as a result of the acquisition of Tucano, we will continue to use and report cost metrics per payable silver ounce to manage and evaluate operating performance at our Mexican operations. Metal production at Topia in Durango was over 420,000 silver equivalent ounces for the quarter, which represents a 16% increase over the first quarter of the previous year. The increase was attributed to higher throughput, improvement in average gold and zinc grades and in silver and zinc recoveries. As we have previously announced, we are only sourcing production in Guanajuato from the San Ignacio Mine. This is enabling us to focus on an exploration program for the Guanajuato Mine aimed at identifying high margin mineral resources to feed the plant in the future. Metal production from the Guanajuato Mine Complex was approximately 355,000 ounces of silver equivalent ounces for the first quarter. This is down from 750,000 equivalent ounces produced last year in the same quarter as we're only sourcing from San Ignacio. In addition, average silver and gold grades were also lower in the first quarter 2018, excuse me, lower than in the first quarter of 2018 due to variability of mineral resource. Recoveries were also lower than plan and were a function of the lower ore grades, as well as the change of -- as well as the change in processing to only process San Ignacio ore. It should be noted the grades and recoveries have improved since late in the first quarter and the company's operations and geology team are focused on optimizing and improving San Ignacio mineral supply, while we explore at Guanajuato. I'll now hand the call over to Jim Zadra to discuss our financial summary for the first quarter.
Jim Zadra: Thanks Jim and welcome everyone. For the first quarter 2019 we reported net loss of $0.05 per share, although we reported mine operating earnings of $2.5 million and these were about a penny half per share lower than those of Q1 2018 due to noted operating factors at GMC and Tucano. Tucano also accounted for about a penny and half in non-cash foreign exchange translation losses in the quarter since the acquisition date due to the depreciation of the Brazilian real. As noted, Tucano’s operations improved with the successful commissioning of the supplemental oxygen completed in late April and these improvements are expected to positively impact financial results particularly in the second half of the year with the benefit of the dry season. We've also seen improve results from our GMC operations since start of the second quarter. In connection with the acquisition we incurred about $2.6 million or again a penny and half per share in non-recurring acquisition costs. Our G&A also reflected out the head office overhead and G&A from the acquisition of Beadell. We are actively working on a program of winding down the former head office to realize cost synergies and expect the process to be substantially completed by Q3. Jim previously discussed the progress of the Coricancha Bulk Sample Program, we are continuing to expense all of the costs associated with the project and this along with G&A and care and maintenance costs amounted to about $1.6 million of expenditures in Q1 or about a penny per share. For Q1 consolidated cash cost was 793 per gold ounce and all-in sustaining cost excluding corporate G&A was $1,422 per gold ounce, reflecting the aforementioned to operating factors which affected both Tucano and GMC. Tucano’s AISC was also affected by higher stripping sequence in March and with the noted improvements in Tucano’s processing and higher productivity in the second half AISC is expected to trend towards guidance a $1,030 to $1,130 per payable gold ounce excluding corporate G&A. We ended the first quarter with cash and cash equivalents of $41.4 million, following the end of the quarter we repurchased the Beadell convertible debentures in the amount of $10.5 million and made about $4.3 million in schedule repayments to MACA Limited, Beadell’s largest creditor. In addition, MACA also converted approximately $3.5 million of debt to equity under the terms of their loan agreement and has a right to convert a further A$5 million in the current quarter and another A$5 million in the third quarter. We also funded approximately $11 million in capital for Tucano to manage the commissioning of the new supplemental oxygen plant. With the improvements in our operations since the end of Q1 we were seeing positive cash generation, but despite that we may seek opportunities to refinance some of the recent debt repayments in order to have more working capital and to fund the Coricancha to restart shipping results of the BSP results support positive decision. I will now turn the call back to our President and CEO, Jim Bannantine.
James Bannantine: Thank you, Jim. As mentioned previously, we're pleased to provide production guidance for Brazil and Mexico. Please note that the Brazilian production guidance is effective from March 5, 2019 the acquisition date. For Brazil we expect gold production of between 125,000 to 135,000 ounces. For Mexico our guidance remains the same. But quoted in gold equivalent works out to 46,500 to 50,000 ounces with an 81 to 1, excuse me, with an 80 to 1 silver to gold ratio. Total consolidated guidance is expected within the range of 171,500 to 285,000 ounces gold equivalent. Cash costs are expected to be between 820 and 890 per gold ounce sold, with all-in sustaining cost excluding corporate G&A of 1,030 to 1,130 goal -- per gold ounce sold. With that, I’d like to open the call for questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from Heiko Ihle of H.C. Wainwright.
Heiko Ihle: Hey, guys. Thanks for taking my questions.
James Bannantine: Hey, Heiko.
Heiko Ihle: Hey. I have a conceptual question and financial questions and a dumb clarification that you can hopefully help me with. Conceptually, with Beadell, can you just sort provide a more detailed roadmap of what you expected to see throughout your first six months of ownership versus what you have actually encountered and then also just sort of the factors that you think may sway results one way or the other throughout the next few months, call it, by throughout the end of the year?
James Bannantine: Sure, Heiko. So we are now the owners of Beadell for two months since March 5th. We -- the primary drivers at Beadell is a cyclical or Tucano, we should be using Tucano as the name going forward, it’s the Tucano mine of Great Panther, is a cyclical rainy season dry season production profile with a well, well more than half the production in the half of the year of the dry season that’s because you have to be – you can only be in the -- low in the pit during the dry seasons, so there is a lot of stripping at the top of the pit in the rainy season and a lot of harvesting of gold in dry season at the bottom of the pit with the lower strip ratio. So we are seeing that as expected. As we have talk about on our call at the time of the acquisition the insufficient supply of oxygen was not as expected, that is now -- that's now solved, so we should be back on plan, which is outlined in our guidance. The guidance does show a heavy production in the third quarter and the fourth quarter, particularly in the fourth quarter, but you can see quarter-by-quarter production guidance. And that’s pretty much -- that's the key – I think that’s the key metric to look at for the rest of the year. Obviously, as we produce a lot more with cost relatively fixed our all-in sustaining cost goes down quite a bit.
Heiko Ihle: Sure. This may term more into a Jim Z question, but going through your inventories, in Exhibit 6A of your financials, your inventories went up almost 10-time -- tenfold on a year-over-year basis to $44.5 million. No surprise, obviously you bought Tucano, as – I was – Beadell and I know but I changed it to Tucano per your request. My question really evolves around how much debt do you anticipate being able to decrease a bit with increasing efficiency, I mean, some of this is essentially cash equivalents, especially the $6 million of gold bullion that appears to be just sitting around?
Jim Zadra: Yeah. And a good part of it is also stockpile and with the – I can’t to talk specific numbers, but with the commissioning of the oxygen plant it’s going to reduce the need to stockpile or it’s going to effectively enable processing of run of mine or whereas previously Tucano was limited in processing the higher grade. So that should bring down the inventory levels going forward.
Heiko Ihle: You want to throw a swing at quantifying that?
James Bannantine: Heiko, you can see that during the first quarter we present -- we processed an average grade of 0.95 grams per ton. The average grade on the mine -- life of mine is 1.7 grams per ton. We were stockpiling high-grade sulfide waiting for the auction to get there during the majority of the quarter and through the month of April. So that adds up to a lot of gold and stockpile. It’s a big part of that number.
Heiko Ihle: Okay. And then just sort of going through your MD&A, actually it might have been from the financial statements, I am not sure, but just to clarify, in your financials you list a bank overdraft of $770,000 or 3 million reals. It states that the account is already fully drawn annualizing the 1.1% per month interest rate you're paying 18.2% per year. Am I missing something and I understand that the real has been devaluing or should that just be paid back as soon as possible maybe with some of these inventories that get turned into cash?
Jim Zadra: That just a working capital item Heiko, it’s a – it just happen to be that accounting overdraft -- was an overdraft. It’s not one of that Tucano facilities if you will. So that was…
Heiko Ihle: But it sounds like it got maxed out.
Jim Zadra: Correct. But it was just sort of a transitionary matter at the end of the quarter.
Heiko Ihle: So that should be gone by the end of Q2?
Jim Zadra: Correct.
Heiko Ihle: Got it. Thank you guys.
James Bannantine: Thank you.
Operator: Our next question comes from Mark Reichman of Noble Capital Markets.
Mark Reichman: Good morning. I just have two questions. The first would be for Jim. It seems that you've already identified an abundance of opportunity to capture margin growth in subsequent quarters. But just focusing at the mine level, beyond the addition of the supplemental oxygen plant in May, what other opportunities are there to improve performance at Tucano that might involve the mill workforce issues or other. Perhaps you could reconcile the first quarter AISC of 1,422 per ounce to the full year guidance range and based on the much higher level of production in Q4 where would you expect AISC to land in the fourth quarter?
James Bannantine: Yeah. So, thanks, Mark, the, yeah, I would say, there's two – it’s kind of two step function. The first step in the function is obviously getting the supplemental oxygen there and processing much more normal grades for the mine, which not only bring you more production and lower unit cost with more production but lower cyanide consumption. We -- during the first quarter and the month of April there was marginal grade material put through that would not been put through were not for the lack of oxygen – would not have been in the – would have been [way] [ph] at the end of the mine plan. So the first step in the function is just a recovery from those first four months of not having the oxygen which dramatically lowers the AISC. The second element and the function is a longer-term element, I would say, I quoted as mid-term, which is cost reductions across the major cost elements of the mine. So right now we're using 9 megawatts out of 15 megawatts of grid power that means 6 megawatts of diesel fired power, big number. We have been for lack of oxygen consuming a lot of cyanide. Obviously, getting the supplement oxygen there not only helps on gold recoveries, but it decreases cyanide consumption. We've got many, many supplier vendor contracts that once we have – if you want to call it a financially strong owner we should be able to realize savings on those contracts. There are multiple small what I would call processing projects that we think have potential pebble crusher or potential gravity gold element in the circuit. There's a long list of opportunities there. They are not going to be overnight. So the overnight function is the oxygen being there. The overtime what we call continuous improvement opportunities are the latter set.
Mark Reichman: Okay. Thank you. And the second question would be for Jim and that is just to address his high-level view of Great Panther’s liquidity this year given planned capital expenditures and wanted to know if there might be ways to tweak the balance sheet. I think he mentioned refinancing opportunities to enhance financial flexibility and/or enhance borrowing costs?
Jim Zadra: Right. Thanks, Mark. The debt levels have been brought down quite significantly since the end of Q1. As we mentioned we’ve repaid about $10 million in convertible debentures. We’ve also paid down $5 million of market debt. And Mark I also converted about $3.5 million debt-to-equity. So that improved the balance sheet quite significantly and as we also noted with the improvement in processing at Tucano that’s having a very positive effect on working capital, because obviously working capital drawn in March and April as a result of the lower levels of processing of lower grade ore, while we're continuing to strip the plant. That said, we do have plans for Coricancha, should we make a positive decision to restart and that will -- we’ll only go ahead with that on the basis of having adequate capital whether that's our own capital or external capital. So that’s one lever we have to manage the capital needs and if we find financing on appropriate terms and we will go forward with strengthening the balance sheet.
James Bannantine: Yeah. Also our operating mode is we want to have a healthy cash account, healthy cash in the bank. So with a very short-term amortization of big chunks of ex-Beadell debt there is an opportunity out there I would expect we’ll take advantage of it.
James Bannantine: Thank you, Mark.
Operator: Our next question comes from Jake Sekelsky of ROTH Capital Partners.
Jake Sekelsky: Hey, guys. Just a few ones on my end.
James Bannantine: Hi, Jake.
Jake Sekelsky: It looks like grades picked up quite nicely at Tucano obviously with the commissioning of the supplemental oxygen system. I am just curious if this is a great profile you feel comfortable with going forward and how it compares to what you expect to see over the remainder of the year?
James Bannantine: Yeah. So the grade that we’re seeing now is a very good grade. It’s a result of the high grade stockpiles that we accumulated during the wait for oxygen. But, yes, the life of mine average grade is around 1.7 on the mine and we are -- so we're looking at 1.5 grams to 2 grams going forward of what we process.
Jake Sekelsky: Okay. So you right there. And I am looking at the CapEx table in the MD&A and would you just be able to provide some color on those numbers, I mean, my gut feeling is the vast majority is earmarked for Tucano, but I am just trying to get a handle on the breakdown mainly between Mexico and Brazil?
Jim Zadra: Sure, Heiko, sorry, Jake. Yeah. If you look at the sustaining capital, it's probably split 50-50 between Brazil and Mexico. The stripping obviously that's all attributed to Brazil and Tucano and the sustaining exploration and development, that's primarily Mexico. Of the non-sustaining the 3 to 3.6 that’s the Topia plant expansion, so that is Mexico and of the non-sustaining it – of the other non-sustaining piece it’s split between Coricancha and Tucano, and Tucano is primarily exploration drilling, and Coricancha is obviously the Coricancha project should we make the decision, but that is also subject to financing. So we've added that in there to be conservative, but again it depends on our decision at the end of June and it depends on our capital.
James Bannantine: A project type financing for Coricancha, if we – to move that forward quickly. I would -- guess, I would also emphasizes is a derivative of your question, Jake, that, of the non-sustaining EE&D at Tucano, you will -- if you heard me speak before, you know exploration is a big part of the Tucano story, both what we call infield and near mine step out drilling to begin with and then regional exploration drilling across a large land package in sequence to that. So we are – we have started and we intend to execute on a relatively aggressive exploration program at Tucano.
Jake Sekelsky: Okay. Thanks for that. That was exactly what I was looking for. It's very helpful. And then just lastly, a more conceptual question, as it relates to Coricancha, is it fair to say that Tucano in Mexico take capital allocation precedent over Peru with where we stand today. I'm just trying to get a hand on how you're prioritizing the three segments with Mexico, Brazil and Peru?
James Bannantine: Yes. It’s actually that is absolutely the case. It’s one project at a time, Tucano’s first in line, really Topia is kind of in parallel/second and Coricancha is third to make sure that we keep a strong balance sheet.
Jake Sekelsky: Very good. That’s all in my end. Thanks.
Operator: Our next question comes from Craig Stanley of Eight Capital.
Craig Stanley: Good morning, guys. How is it going?
James Bannantine: Hi, Craig.
Craig Stanley: Throughput for the rest of the year at Tucano, do you see changing that much? Throughput to the mill…
James Bannantine: No. I think we're pretty much on track there, Craig. You may have noticed in one of our releases that we were working on a maintenance issue on the SAG mill. That seems to be in order. We also have -- we didn't go into that. We've got a primary crusher replacement at the Tucano in our CapEx there. We inherited a pretty worn out primary crusher but we can do that with a limited -- we think we can do that with limited production interruption. So we're still looking at the roughly 300,000 tons a month through the plant. Right now, as you saw in our May to-date press release from Tuesday, we were producing a little less than that as we commissioned the supplemental auction plan and as we tweak the SAG, but we are -- our guidance and our budget is based on that 300,000 tons a month level.
Craig Stanley: Okay. And then the new contractor, you were saying in the presentation they're actually delivering right now above plan in 2019. Can you quantify that, is like 5% above plan, 10%?
James Bannantine: Yeah. So it’s on that order of 10%. We actually if you remember the rainy season, dry season cyclicality of Tucano, we've got -- during the rainy season we move about 2.5 tons a month and during the dry season we move about 3.5 tons a month. So we actually turned them up a little bit and the rainy season and they were able to accomplish that with no problem. They've got the capacity and the ability to move the larger amount of the dry season, so we expect to be on budget for that.
Craig Stanley: Perfect. Thank you so much.
James Bannantine: Thanks, Craig.
Operator: [Operator Instructions] Our next question comes from Bhakti Pavani of Alliance Global Partners.
Bhakti Pavani: Good morning, guys. Thanks for taking my questions.
James Bannantine: Hi, Bhakti.
Bhakti Pavani: Just a couple from my side, you did talk about conducting the significant exploration program at Tucano, would you mind providing some additional details as to what size are you guys looking at currently and what's the budget to spend?
James Bannantine: So if you look at our corporate presentation, you look at the maps around that, you can see the infill in the near mine targets that we are shooting at. And that’s roughly -- of that non-sustaining EE&D is roughly half of that.
Bhakti Pavani: Okay. And I know there have been multiple questions asked about production but just kind of curious given the production guidance range. What factors at this point could lead the production to the highest guidance range versus the lowest?
James Bannantine: There's obviously a lot of operating factors that can move you up or down. But if you look at the nature of our mines, the Mexican mines and the Brazilian mine have been running as they are pretty steadily, so that we're not like we're bringing a new project into operation. We are expanding Topia, so the Topia mine -- the Topia plant expansions, excuse me, comes in the second half of the year. So we have to execute on that. Tucano having the auction plant kind of pretty much secures that, there's not a lot of moving parts on Tucano. So I don't expect any huge variances around that.
Bhakti Pavani: Okay. And lastly at Coricancha with the both sampling program could you maybe, I'm not sure if you'd be willing to but I was wondering, if you could provide some details on the grade there. And do you expect to generate any revenue from processing the stockpiles?
James Bannantine: But not meaningful revenue, Bhakti, the -- if you remember from our studies and our publications the head grade at Coricancha at the mine is 770 grams per ton silver equivalent. Our objective has been to limit dilution from the mine to the plant to 40%. So we want to deliver at least 60% of that head grade to feed grade to the plants. Our -- the results of our work to-date look like look very positive to being able to achieve that. We will publish that in the next month. The actual results of the mine grade, the plant grade and then take a decision on restarting it, once we've taken that decision, the actual restart date will be a function of financing.
Bhakti Pavani: Got it. Okay. That’s it from my side. Thank you very much.
James Bannantine: Thank you.
Operator: Our next question is a follow-up from Mark Reichman of Noble Capital Markets.
Mark Reichman: Yeah. Thank you. Just a quick question on priorities. I totally agree with the priorities you've set. I mean I think there's a lot of value in Coricancha but it was much more important prior to your acquisition of Beadell. So that kind of leads me to think about Guanajuato and the money you're spending there on exploration. At what point do you decide either to continue spending money on exploration at Guanajuato or move all of your chips over to Tucano?
James Bannantine: That’s very good question, Mark. So Guanajuato and the results at the Guanajuato mining complex, you can see suffered a bit from the lack of feed from Guanajuato. So San Ignacio is providing two-thirds of the feed, historically has provided two-thirds of the feed to the Guanajuato plant. It's a bit subscale without Guanajuato. We look at each Coricancha, Mexico and Tucano as business units. So that business unit at Guanajuato would benefit greatly from extra resources that can turn that mine back on into a source of feed. And then given that, each business unit has its own intrinsic value, we'd like to get that business unit up to full value and then keep an eye on it. It is run by the leader of the business unit which is Brian Peer, our VP of Operations. So it doesn't really, I mean, our focus -- with all honesty our focus is on Tucano and it's -- the Guanajuato exploration is not a big dollar number and it's not a management extractor. So letting that run for the next few months and see how we do is I think is prudent. But our big -- if you look at the company as a collection of our portfolio business units, you got Mexico, you've got Peru, you've got Tucano and you really have exploration is almost another business unit and that mainly is Tucano exploration, the value of exploration Tucano is so significant that we're looking at that like a fourth business unit and it'll be the focus of exploration.
Mark Reichman: Thank you very much.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to James Bannantine for closing remarks.
James Bannantine: Thank you, Ariel. And in closing, I'd just like to say that we are really excited about executing on our strategy for those of you who've followed Great Panther for the last few years and we’re executing on the strategy that we announced a couple of years ago and the acquisition of Tucano. We’re also very excited about the integration of our Brazilian operation, our Brazilian team into the Great Panther mining team, lot of really bright people there. We also believe we're able to leverage some of our skills at Great Panther on to the Tucano asset and get the full value out of that. We also are very optimistic on Coricancha and look forward to updating that over the next month or so. I believe that with the team that we have and our asset base and our balance sheet, we're really well-positioned to grow the company and add shareholder value through the rest of this year and then hopefully and further growth going forward in future years. Thank you for your participation in the first call of Great Panther Mining and on behalf of everyone here at Great Panther, I look forward to sharing our progress with you in the next quarter and going forward. Thank you, Ariel.
Operator: This concludes today’s conference call. You may disconnect your lines. Thanks for participating and have a pleasant day.